Gustavo Lopes Rodrigues: [Interpreted] Hello. Good morning, everyone. My name is Gustavo and it's a pleasure to have you with us for our second quarter of 2025 earnings video conference. As always, Milton will soon walk you through our performance. And afterwards, we'll open the floor for a Q&A session where analysts and investors will be able to interact with us directly. But before handing over to Milton, I'd like to share a few instructions to help you make the most of today's event. For those accessing this video conference via our website, there are three audio options available on your screen, the entire content in Portuguese, the entire content in English or the original audio. The first two options offer simultaneous translation. To select your preferred option, simply click on the flag icon in the upper left corner of your screen. [Operator Instructions] Today's presentation is available for download on the hot side, and as always, on our Investor Relations website. With that, I'll now hand over to Milton, and I'll see you again shortly for the Q&A session. Milton, over to you.
Milton Maluhy Filho: Good morning, everyone. It's a pleasure to be here with you once again to discuss our second quarter 2025 results. Today, I will present an executive overview focused on our results and provide a brief update on our guidance. I will also share with you an update on the One Itau initiative, as I promised on our last quarter earnings video call. I will comment on our migration agenda and on the bank's digital acceleration process. Finally, I will share some key figures and wrap up with an invitation to all of you. Let's move on to the numbers. As you can see, we're presenting the same key indicators as always. Recurring managerial net income, recurring managerial return on equity, NII with clients, NIM, NPL over 90 days and common equity Tier 1 ratio. Starting with our results. This quarter, we delivered net income of BRL 11.5 billion, representing a 3.4% increase over the first quarter and a 14.3% increase year-over-year. These are very strong results stemming from a solid performance base established over recent years. As a result, our consolidated ROE reached 23.3%, expanding both quarter-over-quarter and year-over-year. In Brazil, ROE was 24.4%, a robust return also showing expansion over both comparative periods. As always, I would like to note that if we were operating with a capital ratio of 11.5%, which is roughly in line with market practice and our Board's approved risk appetite, our consolidated ROE would be 24.7% and in Brazil, the most comparable figure would be an ROE of 26.1%. This is detailed in the slide's footnote. How did we achieve this result? First, it was a very strong quarter for NII with clients with a 3.1% increase over the previous quarter and 15.4% growth year-over-year. I will provide more details on NII shortly. NIM also expanded significantly, both sequentially and year-over-year, reaching 9.2% on a consolidated basis and 10% in Brazil. We had not reached double-digit NIM in Brazil since before the COVID pandemic, in other words, since 2019, underscoring a significant margin recovery for the bank's balance sheet over these years. Delinquency rates remained well behaved. Consolidated NPL over 90 days stood at 1.9% and reached 2.0% in Brazil. This indicator is stable quarter-over-quarter and is down year-over-year indicating that despite some first quarter pressure in short-term delinquencies, we performed very well the second quarter in long-term overdue loans, a very positive development for the portfolio. The common equity tier ratio posted another solid increase, up 50 basis points quarter-over-quarter already adjusted for IOC provisions and some risk-weighted asset effects, but that were immaterial. Thus, we see a 50 basis points expansion in common equity quarter-over-quarter and flat year-over-year. This is excellent news for capital generation. And it shows our ability to generate capital organically, another very positive sign. Moving on to the loan portfolio. I want to highlight that the individual loan book grew 8.0% year-over-year and 0.7% in the quarter with a notable 1.6% quarterly increase in credit card loans. More important than total credit card loan book growth is the finance credit card portfolio growth, which I will address specifically. Regarding personal loans, it's crucial to break down this number, because it includes products like unsecured credit lines and overdrafts as well as debt renegotiation products. Breaking it down is key to understanding the quality of growth and how each credit line performed in the quarter. I will provide more detail on this shortly. Payroll loans underperformed this quarter due to multiple factors. The payroll loans for INSS beneficiaries dynamic was impacted by both the cap on interest rates and funding as well as by a process change in originations. Private payroll loans are advancing gradually due to ongoing product process improvement. I'm positive that there will be questions on this in the Q&A session. In auto loans, risk management is key, and the portfolio continues to perform very well. Both credit card and auto loan portfolios are outperforming market benchmarks for the national financial system. Effective risk management discipline is essential here. The mortgage loan book grew 2.1% in the quarter and 17.2% year-over-year, further demonstrating our capacity to expand such an important credit line for our clients. The SMEs loan portfolio grew 0.8% in the quarter. I will provide more details on the quarter growth and on the performance of what we classify as small companies in a little while. The large companies portfolio grew 1.4% in the quarter and 6.4% year-over-year. It is worth noting that the loan book in Brazil grew 1.0%, while in Latin America, the portfolio declined 2.3%, a clear effect of the appreciation of the Brazilian real against other currencies. The total credit portfolio grew 0.4% in the quarter and excluding the FX impact, it would have grown 1.3%. For large companies, the 1.4% quarterly growth would have been 2.3% excluding the FX impact. This breakdown provides an insight into the impact of FX fluctuations. In previous quarters, we have noticed the impact of the Brazilian real depreciation. However, this quarter, the Brazil real appreciated versus other currencies. Those are the main messages. Let me provide further details on the loan book performance. The finance credit card portfolio grew 5.4% in the quarter and 6.1% year-over-year. It's worth highlighting that 100% of annual growth came from the Uniclass and Personnalite segments. There are several reasons for this, some of which I will detail later. But primarily, it's about new products and solutions in cards that have supported the expansion in the finance credit card lines. For personal loans, breaking down the figures is critical as I've said. Unsecured credit portfolio, including installments and overdrafts, posted a 1.1% quarterly increase and 12.1% yearly growth and 83% of this growth comes from Uniclass and Personnalite segments. Mid- and high-income clients with great credit quality. Debt composition in terms of an analogy would be the bad cholesterol while unsecured credit would be the good cholesterol. Debt composition or the bad cholesterol posted a 3.8% reduction in the quarter and a 12.6% annual drop. Thus, tracking this breakdown is essential to understanding the personal loan portfolio dynamic. Moving on to SMEs. We see that small businesses grew 5.4% in the quarter. Government program volumes grew 21.7% in the quarter with a very sound credit quality. Over recent months, we've become highly skilled in operating these programs generating positive results and expanding net financial margin for the segment, a very positive outcome as well. Now let's talk about NII and NIM. First, focusing on NII, then on annualized average margins. In client NII, we exclude the working capital effect which was BRL 4 billion last quarter and BRL 3.8 billion this quarter. I would like to remind you that last quarter, there was a significant additional dividend distributions, which reduced the shareholders' equity and explains the difference in working capital margin. What's most important is that all core margin lines contributed positively. The average volume contributed by BRL 200 million, product mix and segment mix added another BRL 300 million. Spreads and liability margins are posting very strong results with our investment franchise delivering extraordinary results. The calendar effect of 1 additional day also contributed positively. And Latin America and others added BRL 100 million in the quarter. This resulted in core margin expanding 4.5% in the quarter or BRL 1.1 billion, a very positive performance. Moving on to NIM. The first message is that NIM continues to expand sequentially, reaching 9.2% this quarter, the highest in the historic series. As we always say, it's important to analyze risk-adjusted NIM since the hard figure may be misleading. On a risk-adjusted basis, NIM reached 6.3%, a significant expansion in the quarter. In Brazil, NIM hit double digits this quarter, a level we've not seen for many quarters. Risk-adjusted NIM was also the best in the series at 6.9%, showing that we've managed to expand margins while maintaining strong credit quality. In summary, net financial margin this quarter posted the strongest and most solid expansion to date. Moving on to market NII. Let me take a moment to focus on this slide. We posted very strong results in the quarter, exceeding our expectations. It's always challenging to forecast trading results, which were outstanding this quarter and contributed to a very solid overall outcome. On the other hand, the cost for hedging the capital index, which is easier to forecast, is expected to increase in the coming quarters. As we mentioned last quarter, this is the impact of the interest rate gap. The 2025 guidance for NII with the market is a range between BRL 1 billion and BRL 3 billion. Thus, BRL 2 billion is the midpoint of the guidance. In the first half of the year, NII with the market reached BRL 1.8 billion. It is still hard to forecast market NII performance, especially in trading but we've seen very positive results so far, and we're reaffirming our guidance as the range fits our best estimates. If there are any updates, we will discuss it again, and I will provide more details when addressing the guidance framework later on this presentation. The cost for hedging the capital index is expected to continue expanding over the coming quarters. Moving on to service fee income, I would like to highlight a few lines. Card issuance revenues are growing 4.5% year-over-year with TPV performing well, directly impacting interchange revenue. In the asset management business, I want to emphasize the growth in revenues from BRL 1.7 billion to BRL 1.9 billion. We had a very strong and solid performance fee, significantly better than last year leading to a 17.5% annual increase, a sound result. In Advisory & Brokerage Services, revenues declined both quarter-over-quarter and year-over-year, mainly explained by DCM activities. Last year, in the same quarter, we experienced the best DCM quarter in the bank's history. Although we maintain significant market share and a strong position in the rankings due to lower activity and fewer transactions, we naturally captured less revenue. Another noteworthy line is the insurance, pension and capitalization businesses, which grew 8.8% in the quarter and 17.3% year- over-year. This shows that our operation has delivered very solid results, more than doubled earnings over recent years and is keeping growth at a robust pace. I will provide further details on this shortly. In the asset management business, a positive highlight is the net inflow of BRL 47.5 billion in the second quarter of 2025, a 30% increase compared to the second quarter of 2024, an outstanding result. Itau Asset was the leading asset manager in terms of performance fees this quarter. We are growing not only through distribution capacity, but also through value creation, delivering sound performance to our clients and improving performance fees, a very robust outcome. Moving next to insurance. Earned premiums are up 14.6% year-over-year, with significant expansion in the quarter. Recurring insurance income grew 7.7% in the quarter and 25.2% year-over-year. Our core insurance operation, bancassurance continues to expand at a very favorable pace with growth concentrated mainly in personal accident and credit insurance, underscoring the recurring and solid nature of these results. Moving on to credit quality. I will first address short-term delinquency followed by long-term delinquency. Short-term delinquency indicators are very positive, showing delinquency is well controlled. Overall NPL 15 to 90 days posted a slight 10 basis points decrease, and so did the indicator for the Brazilian operation. In Latin America, we had only isolated cases impacting the quarter with very low volatility and no further concerns. Alongside, we have the indicator including corporate securities in compliance with Resolution 4,966, which we will continue to monitor closely. The chart contains extensive information, but this is due to the limited historical data available under the new regulation. I expect that within another quarter, we will be able to provide more comprehensive insight monitoring. The direction remains consistent with the main change being in the information level, particularly in Brazil, where corporate securities are more relevant. The short-term delinquency ratio for individuals in Brazil dropped 10 basis points quarter-over-quarter and there is no corporate securities effect in this portfolio. For SMEs, the credit quality remains healthy and NPL was flat in the quarter at 1.4%, considering the credit-only portfolio and flat at 1.2% when adding corporate securities to the credit portfolio. So the trend is the same, but the absolute level changes. I would like to remind you of some information I shared last quarter. A significant portion of the growth in the SMEs portfolio came from government-sponsored products. Most of this portfolio is currently under a grace period, which benefits the denominator with the loan portfolio increase, while the numerator is not impacted by the amount of overdue payments since under the grace period, no installments are due yet resulting in a temporary indicator benefit. We expect this to normalize over the coming quarters in both short- and long-term overdue loans with no cause for concern. Therefore, a slight uptick is expected for the SMEs portfolio which shows remarkable credit quality and no credit risk earnings. We have reaffirmed the cost of credit guidance. The main reason why we are highlighting the expectation of NPL growth is to be very transparent regarding our expectations going forward. Analyzing long-term credit quality, the news is equally positive with very well controlled indicators. We did not experience significant rollovers from the first to the second quarter, which is typically seasonal. In Brazil, despite a slight increase in NPL creation, loan portfolio growth resulted in stable indicators, which is very positive. For SMEs, the earlier comment regarding gradual normalization over the coming quarters applies. Short-term overdue loans mature, they will eventually impact long-term delinquency ratio as grace periods expire. Another credit portfolio indicator that we are monitoring is the loan book by stage and coverage by stage for both Stages 2 and 3. In Stage 2, there are no material concerns as movements largely reflect the mechanical rollover from short-term overdue loans in line with expectations and without any significant issues in either loan portfolio or coverage. Stage 2 is expected to slightly decline this quarter. This mechanical rollover impacted Stage 3 for individuals. There is a dual effect. The coverage ratio drops in Stage 3 for individuals since loans recently entered into Stage 3 tend to be provisioned at a slightly lower rate compared to those exiting it via write-off even though provision is made by expected lifetime loss. As there were more entries than exits in this stage, coverage mathematically drops. For the large companies, the opposite trend was posted. Coverage increased because we sold the credit portfolio in Stage 3 at a lower- than-average provisioning ratio due to its strong collaterals. This sale removed the loan with lower provisions from the portfolio, improving overall coverage as the remaining loans have higher average provisions due to their credit risk profile. As a result, we have seen a significant reduction in restructured loan portfolios. We continue to provide ample transparency regarding renegotiated and restructured portfolios. This is a relevant figure to monitor as it demonstrates our progress and ongoing evolution. There was a BRL 1.1 billion reduction in the quarter driven by both restructured and renegotiated portfolios. Credit and securities renegotiated portfolio decreased from BRL 40.1 billion to BRL 38.8 billion posting a healthy trend in both renegotiated and restructured categories. The combined effect of all these indicators is very well behaved cost of credit with only a slight nominal increase as the loan portfolio grows. We should analyze the cost of credit growth compared with the loan book growth. The annualized cost of credit over the loan portfolio remained flat at 2.7% which is a very healthy portfolio with an indicator far below historical average. All in all, we are growing the loan portfolio with high-quality assets, resulting in a robust credit performance across all segments, a highly positive outcome. Regarding non-interest expenses, we posted an 8.7% increase in Brazil when comparing the first half of 2025 to the first half of 2024 and a 9.2% increase on a yearly basis. Personnel and transactional expenses remain very well controlled lines. The bank continues to deliver solid and growing results which impacts many of these lines, whether through higher transaction volumes or an increase in variable compensation. In terms of technology expenses, we continue to invest heavily in business technology, products and solutions to meet client needs and make the bank increasingly efficient and modern. This has been the prevailing trend. And most importantly, all of this was delivered 100% within budget, meaning every initiative was fully aligned with our financial planning. This underscores our ability to forecast and manage the bank's cost structure with discipline and precision. When we look at the half year comparisons, we observe another positive evolution in our efficiency ratio which declined to 36.4% in Brazil in the first half of 2025 compared to 37.0% in the first half of 2024. On a consolidated basis, the ratio was 38.5% in the first half of 2024 and now stands at 38.4%. This represents another relevant improvement in our efficiency levels, demonstrating that the tech CapEx continues to translate into efficiency gains and solid and sustainable results. Moving on to capital, net income, already adjusted for the full provision of interest on equity, which alone would imply a payout ratio of approximately 32%, generated a capital increase of 60 basis points in the quarter. Risk-weighted assets had an immaterial impact during the period. So we expanded our CET1 ratio to 13.1%, with AT1 at 1.5%, although our AT1 is structurally higher, Basel regulations cap our AT1 contribution at 1.5%. We just announced the call option on two perpetual foreign currency debt instruments, totaling approximately USD 1.5 billion and two tranches of USD 750 million each alongside our second quarter '25 earnings release yesterday. Due to this call option, our AT1 ratio should converge to approximately 1.3%, which remains fully aligned with our capital appetite. This was feasible because of our liability management. We issued approximately BRL 5 billion in perpetual debt in the local market, which enabled us to exercise the call option on these instruments and repurchase them. Again, the notice to the market on this was released yesterday. Moving on to our 2025 guidance. We are reaffirming our expectation for credit portfolio growth, NII with the market, cost of credit, fee income growth and non-interest expense growth. However, we are updating our expectations for NII with clients' growth since we are posting stronger growth than originally expected. Accordingly, the range previously said was between 7.5% and 11.5% and now has been updated to between 11% and 14%. The lower end of the new guidance is nearly equivalent to the top end of the previous range. This is a very positive development for NII with clients. On the other hand, given the higher earnings, the benefit from interest on capital is diluted, resulting in an increase in the bank's effective tax rate. In addition to that, we've been posting a higher share of earnings coming from banking operations versus non- financial entities. Together, these effects lead to a slight upward revision in our effective tax rate. From the previous range between 27% and 29% to a new range between 28.5% and 30.5%. These are the two updates we are making to the 2025 guidance this quarter. Last quarter, many of you asked me about the performance of One Itau and whether we had any data to share. As I've mentioned before, we are in the midst of a critical migration phase, and our focus remains on executing this transition carefully ensuring a smooth and client-centric experience. We now have solid data to share, not only from the One Itau initiative, but also from our broader digital acceleration agenda, including product delivery, solution development and clients' problems resolution. Over 10 million clients have already migrated to the One Itau platform, with an NPS of 80 points and a conversion rate of 99.3%. Well above expectations. Notably, 54% of these clients already hold three or more products with the bank, reflecting our successful transition from a monoline offering to a full bank proposition. This shift has led to a 32% increase in engagement among this client base as they adopted the full bank offering. These are very encouraging results. We are enhancing the user experience in the Super App and improving results. Over the past 18 months, we have launched 19 key products and posted a 25% increase in Super App usage per client. This has significantly boosted frequency, activation and engagement across our digital channels. For example, our recently launched digital savings feature called Cofrinhos or Piggy Bank, reached a balance of BRL 13 billion in less than 90 days with an NPS of 93 points. It's important to highlight that most of these funds came from a deeper client relationship. Our expense tracking tool launched less than 90 days ago, already has 1.8 million active users and an NPS of 85 points. Interestingly, 57% of users were unaware of their largest spending categories highlighting our ability to address client pain points and promote financial education. This drives engagement, strengthens relationships and increases long-term client lifetime value. We now have 15% of our Uniclass and Personnalite client base using PIX Credit, which is a very positive development. This functionality has contributed meaningfully to the growth in our finance credit portfolio. Over BRL 13 billion in credit limits have been reallocated across cards allowing clients to define their preferred limits and products. This flexibility has led to over 20% transactional growth in the past 3 months. Once again, this demonstrates how well-designed digital offerings can radically improve product adoption. Digital origination of loans, including personal loans and payroll loans, grew 31% compared to second quarter 2024. This emphasizes digital origination is improving significantly. Origination of daily financing, such as PIX credit, overdraft limit, paying bills and credit card installment plan grew 72% versus second quarter 2024. These results reflect the impact of our investments in technology and modernization. These are very positive results, and we decided to share them with you. On the AI front, we've deployed over 500 internal use cases focused on efficiency and productivity. We've launched PIX via WhatsApp for our entire client base powered by AI and transactional capabilities, enabling self-service through intelligent automation. We are making significant progress in both investments and PIX. Transactionality is key to scaling our models. If you're a client try it, you will see the results yourself. Regarding investment advisory, we've launched a 24/7 AI-powered investment specialist pilot already serving 10,000 clients. As results evolve, we will expand this solution to a broader base. This is a fully scalable advisory model. As I always say, having good AI technology is necessary, but not sufficient. What truly matters is combining technological know-how with deep expertise in investment products and solutions, which has always been a core strength of the bank. Our investment front has always been robust. Our understanding of client behavior, economic cycles and solution design is what powers what we call Itau intelligence. Technology alone without domain expertise does not deliver outstanding results. And I believe we've been able to do this in a differentiated way within the industry. To wrap up, I would like to invite you to Itau Day, which will take place on September 2 from 9:00 a.m. to 12:00 p.m. Brazilian time. This is an event we host for clients, investors, employees and competitors, where we share more about our journey and strategy and all members of the Executive Committee join the event. So there's our invitation and I hope to see you soon. We closed another quarter posting very solid results, strong across all lines with high quality, and most importantly, with a long-term view across the balance sheet. We truly believe in long-term management. We must continue to follow our mantra, capital allocation, portfolio management, resilience and consistency. That's what underpins the numbers you've seen so far. It's a highly entrepreneurial environment where people are energized, results are growing, and we're building remarkable things. I am very excited about what we've been able to accomplish without ignoring the challenges ahead. Let's talk more about this. And now I will join Gustavo for our traditional Q&A session. Thank you for your trust and for being here. See you soon.
Gustavo Lopes Rodrigues: [Operator Instructions] We have Milton here and Gabriel. He is here, the CFO. Welcome to you both. And let's go to the first question that comes from Daniel Vaz from Safra Bank.
Daniel Vaz: Congratulations on the results. Excellent cash generation. I think that bank is very well positioned for the distribution of dividends for the shareholders. And there is a capacity, I saw the headlines. But anyway, I wanted to discuss another thing, the Rede network, we see the interest of our capital growing 7.5%. We see the issuance number and the issuance of Itau closer to 5% Bradesco and Santander as well. So very close. So we can see the inference of the market that you're gaining market share over the last few months. I wanted to understand that strategy. Where are you -- what is the direction? How can you be more competitive? And how can you achieve a directed offering for a specific client, so we can try and capture that strategy. And once again, congratulations on the results.
Milton Maluhy Filho: Thank you, Daniel. It's a pleasure to have you here. Thank you for your initial words. Well, Rede network, we have less -- we haven't talked about the results in an isolated way, because we are integrated Rede network into the strategy of the bank. It's a flow overview. The TPV of the market of credit cards and TPV of the flow, the market of credit cards is 4% of the TPV of the flow. So for us, it's much more important to see the full offer, the vision of the client and this is the overview that we have here. Evidently, we see the other indicators, but the result of Rede is distributed into the results as we published. We blocked the paid and the receivables and we have the result of Flex and MDR, which is what you see here, the rental but result of RAV and the cost -- the financial cost of RAV is in the margin for the client. So -- the result is always difficult to try and understand how the take rate, the result is with this overview. The market share for us is not an objective. I always reinforce this issue. Market share, it's a consequence of everything that we do and everything that we believe in, because once we focus on the correct client with correct price and the holistic vision of the relationship as a whole, the consequence is the market share. So we don't do a management where we've seen a few cases where you get in with the result of the margin -- contribution margin that is negative, but actually that's rental of the market share. Because our market share comes from big names, but it doesn't reflect into the result at the end of the day. And sometimes it's a good tractor of this result. So we have, by a consequence of everything that we've done, we are leaders, but we don't have to be the leaders. That's not an issue for us. The cost of the volume for market share to be concentrated on the big numbers, the big names where the contributions are much lower, the margins are very tight. And sometimes, we see contribution margins that are negative for the operations. So we continue with this strategy. Integration is a success. We are happy with the results. The way that the commercial teams are particularly on the acquiring business. Acquiring is nothing more than the additional receivables of the other ways that the client has to receive. So this is the way that we managed the business, and it brings a natural results such as the flow creates value. And we continue to be very focused in our share of cash, penetration share of payments. That's how we see the relationship with the client.
Gustavo Lopes Rodrigues: Now let's go to the second question, Renato Meloni, Autonomous. Good morning, Renato. We do not hear you.
Renato Meloni: Congratulations on the results once again. Well, I wanted to talk about the portfolio of finance credit, which is growing. It's very interesting. It's growing beyond the total portfolio of credit cards and you're focusing more on the Personnalite and Uniclass base and you're improving the profitability of our portfolio without increasing your credit risk. So I wanted to understand which are the initiatives of these new products that you're developing and deploying in this segment. And thereafter, if I want to understand if that's a relevant contribution for your clients in this quarter? And does this continue throughout the year?
Milton Maluhy Filho: Thank you, Renato. Thank you for the opportunity to have you here. We've seen a healthy evolution in this quarter, specifically with the margin with the client. We've seen an important contribution. It's a set of factors, the margin of the credit card, the finance credit card is a component, but it's not a single one. So that's why we want to open the personal credit card portfolio that you see that the rotation credit is doing well. There is a seasonality because when you see the expenses over the last quarters and the rollout from the first to the second one, there is a propensity to the higher financing. This is an aspect. Second aspect, is everything that we've discussed on the evolution of the journey of our clients. So when we can penetrate these segments such as Uniclass, specifically in Personnalite and this product, it shows how can we, in the context of the journey and the transaction of the client, digitalize your digital products that are very important. The client is facing a purchase sometimes it's a short- term transaction. They can get a discount, because they're going to pay in PIX, and it's important for them to finance that purchase in competitive conditions, and we have the rates according to the profile of the client segment. It's more of the profile than the segment in a way that we can personalize the offerings for the clients. So this is what we've seen, yes, there is an expansion of the PIX credit within a credit card. We understand that this is best chassis in the context of the journey of the client. And so this is a set of initiatives. It contributes for the margin of the clients. But when you see breakdown for the client stories, average volume contributing, the liability is contributing when we see exclusively the part of mix of product distribution certainly, there is an impact. There is an impact as well in the rotation, and there is an impact -- positive impact for the mix, which is the growth in the Retail in regards to the middle, which we published in the MPME. These are the three that contribute for an important margin with the client. And I think that we have a maturity level that is good in this quarter. And probably, we're not going to see the same growth level for the next quarter given that we've got to a maturity level that is very important this quarter, specifically with the margin with the client, it's expanding. To your question, we've seen an evolution, but there is a series of positive factors. The rotation of credit, the growth of the finance credit card, the growth of government, which has an expansion in the net margin. We had another business day, which is another impact we had in anticipation of results, of operations, of Wholesale that are structured than we would imagine that they would materialize in the second quarter and they anticipated. So there is a set of positive factors. Up ahead, this acceleration that we're observing in the quarter, it doesn't come with the same intensity. But regardless, the guidance was seen again, and we can fulfill at the end of the year, a stronger result than originally planned.
Gustavo Lopes Rodrigues: Thank you. Let's go to the third question, Mario Pierry, Bank of America.
Mario Lucio S Pierry: Good morning, everyone. Congratulations once again on the result. Milton, what really impresses me is you're delivering the results, generating a lot of capital but the management is still not satisfied. I mean, you're always trying to improve. What caught my attention was the extraordinary expenses that you had in this quarter, BRL 600 million, approximately in the restructuring. So could you explore more what are the measures? What are you thinking? I imagine that this is more for the reduction of the physical distribution of the bank, but would you be able to anticipate to us a target, goal of efficiency?
Milton Maluhy Filho: Well, Mario, thank you. Thank you for the initial words. I think that, this point that you bring to the beginning is our culture. It is a lot of the DNA of the organization. And this intensity of wanting to do better every day. We are never satisfied. We celebrate good results, but the celebration is short term. The challenges are big. And we are looking to the future to try and overcome our expectations. This is -- [Foreign Language] we have to extract and operate in pockets of credit that with a lower efficiency index, you can absorb more risk than what we can absorb in the status quo. So I believe that we've done a provision for the structuring of the -- in the past, it's non-recurring recurrent. It's important to make this point, drive this point through. If we will see in 2019, we're talking about 2025, if you do a provision with this characteristics, these provisions are done when we look at a scenario up ahead, and we see that we are in a period of adjusting of the harvest of the investments that were done in the past. It's non-recurrent. It's extraordinary certainly, but we will continue to evolve in our digital agenda and a bit of the information that I brought to you, the evolution of One Itau, which is a relevant embryo, so we can advance more and more with the Super App. The results are incredible. All the evolution of the digital acceleration allows us to be more ambitious in the plan. And this is what we are discussing. We're looking at efficiency we -- you'll see that we are getting to an efficiency level that is very competitive. We can see some volatility in the efficiency level in the quarters up ahead, because it's resulting naturally from revenue and cost. But directionally, we have to have an index of efficiency in businesses that we need to be more competitive. There are businesses that we are a global benchmark for efficiency, specifically in the Wholesale operations and in Retail, we see an operation. We see an opportunity to evolve in the efficiency level. Well, everybody has their homework to do. It's not a challenge of one segment or the other, we have different proportions. We have evolved in this agenda. Gabriel, he has been the leader of this effort in the organization. It's not effort just to finance. It's an effort of the whole organization. It's not just a project of one area. It's the work of everyone and every -- now we are in the phase of execution that is very strong. We've been for many, many years in the period of investment, and now we are in a relevant phase of discussion, and we've expected that we are going to advance in these restructurings over the next quarters and the next years. We don't give you a guidance of footprint, because the footprint is a consequence of what our clients are demanding. It's natural that the flows are dropping. And well, we continue to adjust the footprint. There is a reduction in the adjustment, and we will adjust as necessary. So we can understand the sustainability of these models, the value of our position and the model of service for the client. This is what we focused. And certainly, we will work and we'll continue to work in this provision, is an implementation that is the clearest example of that to continue moving forward with our plans and the implementation of this project.
Gustavo Lopes Rodrigues: Now we will continue with Yuri Fernandes, JPMorgan.
Yuri Rocha Fernandes: Good morning, everyone. Congratulations. Thank you, Gustavo. Another result that is very good on the capital. I'm going to ask on physical, which is another variable of efficiency. Well, the only line of the bank that is weaker, the digital but I understand the logic. I think that we have the revenue of the checking account, it has been dropped -- is dropping. So how much stabilization should we see in the checking account? This is a line that is weaker. You have some nice data on the -- well, the consortium is doing well. The insurance is doing well. So I wanted to understand the improvement of efficiency in your plan, the stabilization in the line of fees, sorry, and in wetail and Wholesale, well, on the opposite of what I thought it would be weaker. There is more Wholesale than Retail. So if you can comment the trajectory of this line, it would be great.
Milton Maluhy Filho: Thank you, Yuri. Thank you for the words and taking part of our call. I believe that here, we need to break down the answer into a few chapters. The first one, transactionality. We see in the Retail, the transactionality is still very strong. I've discussed of the good cholesterol, the bad cholesterol. We see transactionality occurring in the issuance in the acquiring, in the engagement of our products in the digital channel. So we are increasing the volume in consistent and an important way. There are two lines that I would say that they directly, they fall through our time, and that's why we changed the way that we published. So when we have tariffs, the checking account. And we are talking about tariffs and packages. We are re-signifying the packages. It doesn't tend to zero, because as you create value in the package as we can do that, there is charge for a package. It's a different way to service a client. But directionally, we highlight that first relevance of this line in the quarter. And secondly, I think that it will continue to drop little by little when we look up ahead, and we will re-signify the packages, but the deltas, the millions of reals for all the completion of the revenue of insurance is not irrelevant. The percentages are higher because we're talking about smaller numbers. So what is the variation in this revenue, the percentages are higher. So when we look at credit card, it's always important to remember that, here you have revenue of exchange, and you have the revenue of the invoice and we see that this is less relevant and we see the strategy. We have to be careful because every time that you have the growth of tariffs that is relevant you are seeing decline. And you have an adverse result in your base, because the good clients that have access to good offerings will migrate. If you have a good transaction other way the bank and a good relationship, you end up bringing the client that are willing to pay for something that is not necessarily a capacity to increase the cross-sell and engagement for the bank. So this is -- we have to be careful when we look at the long term. So yearly, rates are dropping, and we are working. The loyalty program is still relevant because we see the credit card, we need to see it in the context of the relationship. Then when we look at payments and repayment and receivables, then you have the companies, you have the revenues, you have Rede, you have payments, you have the revenue of PIX within company's universe. There is another logic of relationship. It has to do more with the flow, and we've seen positive results. So when we look at the Wholesale, there are two separations. The economic consultancy, the result is weighted because we had a second quarter that is weaker, because we had a second quarter that is historical in the past with debt. So we need to be very strong with that. So there is less volumes in the market. And this quarter, we've seen there is one operation that is more relevant that has the characteristics that are our own and the general volume is dropping 20%. So that affects naturally this line. On the other hand, if you discuss the administration of resources. Consortium is doing very well. Important growth year-on-year. And the second aspect are the profiles that we're doing very well. So we have a better profile in the market in the second quarter and the added value and our best expectation is that in the fourth quarter, we can deliver good profiles. But once again, it depends on the market and all the expenses that this brings. So when we look to insurance and the social security, we have great results, solid ones, important volumes that are growing the volume and we need to see the performance fee which is very solid with the added value. And insurance is growing very relevant year-on-year, 7%, 7.7%, and we see in the quarter-on-quarter. So we see an expansion. But it has to do with the activity. As we see smaller activity, the data of the share of this business, naturally, we can feel more of what happened in this quarter. The rest, we think that we are performing very well in the lines, it's important to look at the performance of the line but also thinking about the lifetime value of the client vision. So it's not just growing in the line. If you had a way of showing that we are growing in the rates of the checking account in natural person or the yearly rates of credit cards, or we would not be satisfied. So we wouldn't be understanding the change in the market and the added value to improve the value proposition of the client and increase the engagement and the completeness of the relationship.
Gustavo Lopes Rodrigues: [Foreign Language].
Bernardo Guttmann: So congratulations, Gabriel, Gustavo and Milton. Congratulations on the results. Now my question is the ROI per segment. The profitability of the Wholesale went over to Retail for many, many years. So how can you think about and decompose this reversal in terms of segments that contributed the most for this operation? More of a spread efficiency or even the improvement in the risk profile and how does the bank see the profitability of this differential of ROI, specifically considering the competitive environment and credit environment that is more selective in the second quarter?
Milton Maluhy Filho: Thank you, Bernardo. Thank you for your kind words. I think that in the third quarter of 2022, when we got to 16.4% of profitability in the Retail, I said that we were not happy with that profitability. We were coming from a credit cycle that was tighter, was more difficult, but we would do a catch-up all throughout the next quarters. So here, there is a lot of work. There is a lot of effort. There is no server bullet, naturally credit and the derisking that we've done in the portfolio throughout the period, all the portfolio management, focusing more and more resilient clients in longer cycles, all the digital journey of the bank. The delivery of value that we've shown, the evolution of the digital acceleration of PAD, everything that we achieved. So when we look at Retail, we look at the expansion of the net financial margin specifically. We have financed credit card that is evolving. We have the rotation of credit, evolving the funding in the next quarter, we see more pressure with the cap products, the cost of credit, it nominally drops. So when we look at Retail, we -- you can see that we expanded the financial margin with the client, dropping the cost of credit in a nominal way. So the net financial margin is expanding. This is the main driver. Our vision is that, we think that, yes, there is a sustainability at this level of profitability. There is some volatility as natural that it occurs. We've had a quarter that we have the alignment of the start, so to speak, but within a profitability threshold that is very comfortable, the Retail as the company is evolving, and a great catch-up that was done was in the natural persons, that we, in fact changed the threshold of the -- we create value for the organization. The more volatile products, we don't do the management product oriented, but with profitabilities that are very high creating a lot of value. So here, it's a set of values that went to the same point, and this is the result. We have an important driver for the profitability on the long term. We are very focused on this. And in the Wholesale, we don't do the breakdown, but I'm going to mention it, because I think it's relevant. When we think about Brazil and LatAm, we see that in Brazil, we are changing with the profitability center in this -- it's the sum of WMS and Itau BBA. When we highlight LatAm in this vision, we have an ROI of 15.8%, close to 16%. So it creates a lot of value in that sense. So it's very interesting to see that even though the Retail has done this expansion, the Wholesale has delivered solid results, about 30% in Brazil and all the businesses that we are working. So the advantage of having a portfolio that is diverse, relevant and that we can naturally navigate through all on Wholesale and Retail, performing with great profitability is the great advantage of having a universal bank that is deep in all the businesses and has a market leadership in a great deal of the businesses that we work with.
Gustavo Lopes Rodrigues: And now we have Henrique Navarro, Santander Brasil.
Henrique Navarro: Congratulations on the results. My question is about the portfolio of corporate. And we've seen some headwinds, the IOF in this quarter, the dollar. And even though you got some important growth in this portfolio. So my question is, where -- what is the DNA of this growth? Is it capital markets? Where does it come from? Is it more aggressive policies? What can we expect for the next quarters?
Milton Maluhy Filho: Thank you, Henrique. Great to see you again. Here, the effect of the exchange rate that you commented is very relevant. The portfolio has a lot of sensitivity to the foreign currency. The growth here of Wholesale has a boom of operations that we put in the portfolio without changing the appetite. This is very important for the long-term vision for the strong portfolio management on the long term. And we have inside of Itaú BBA several segments of clients and companies. We've grown the portfolio by per quality in all of them, removing the foreign exchange effect, of course. Here, we have agribusiness, which has a performance that is very highlighted. We've seen the middle, which has an effect of foreign exchange. But when we see as foreign exchange growth, even though the companies grow, the SMEs grow, there is no silver bullet. All the segments, we have penetration that is good and with the right price. We have a discipline of price that is very strong, prices in the sense of capital allocation for the return of capital, allocated capital. So we see the excesses in the market, they occur, but we rather lose share than lose money and lose profitability. So we've been very disciplined. We don't see difficulties. We continue to grow this portfolio at the right price with the adequate profitability level and with the completeness of the relationship that we have with the clients. So the growth is very diversified, no big concentrations and no changes in the appetite. This is the most important thing. And that's why we decided to be more aggressive in taking more risk. No, it's the opposite. We are more cautious when we look at the challenges ahead. The interest rates and the activities, we continue to be very careful as needed.
Gustavo Lopes Rodrigues: Next question Eduardo Rosman, BTG.
Eduardo Rosman: Good morning, everyone. Two questions that I believe that are interrelated. First, about the credit business. We've seen that they generated value through this period. ROI is above the cost of capital. And if I'm not wrong, historically, you've always indicated that the ROI has to be closer to the cost of capital and the excess of return should be coming from the other lines. But the business of Wholesale -- of Retail is changing in the high income. So we would expect that this number would go up. And now what happened? And along with this question is with the future -- in the future with the improvement of efficiencies that you are indicating that are possible, risk appetite would increase? Would we see more opportunities of growth in Itau? And even in the future, we can reduce the payout, so we can reinvest more and grow better with higher ROIs.
Milton Maluhy Filho: Well, thank you, Rosman. It's a pleasure to see you again. Well, in fact, it was a good quarter for credit because of the reason that I just commented. The expansion of the margin, it was very good. The cost of credit very well behaved in the Retail. We've seen the cost of credit that is nominally dropping. So this is a very relevant point. We've seen a few doubts about the formation on the quarter. It's important to remember that we work with the expected loss in the bank. So the main effect for the provisions is the short-term delay for the last quarter. When it goes to the long-term delays, the provisions have been already done. So that's why the coverage level is not on the delay -- and we had a provisioning on the formation of 120%. And in the -- it's even below 100% in the Retail, it's 98%. So the expected loss and the short-term delays, that's why I say opening for the short-term delay delinquency, because it's what's expecting -- it's what directing the expected loss of the balance sheet. Anything differently from that you're operating and incurred losses and unexpected losses. So I just wanted to clarify that. And even though we see the formation aligned with the portfolio that we observed and within the volatility that is expected and seeing the seasonality in this quarter, first quarter -- from the first to the second quarter, the rollout of the short-term to the long-term delay, then it normalizes later. So I wanted to clarify with your question this aspect. This quarter was very solid in net financial margin. The credit is performing very well. In fact, the cost of capital, if you see, it's closer to 15%. So since we are looking at an average ROI and cost of capital, it creates value. If we operated with 15% in the average, in the whole quarter, we would be slightly below in the cost of capital. So here, we are always running against the cost of capital. So it depends on the interest rate cycle in Brazil. It depends on the COI and cost of equity of the bank on the long term, and that's what's going to determine. With all the agenda of efficiencies, and we still believe that working close to the cost of capital is the ideal, so we can achieve naturally penetrate with the relationship with our clients. And of course, it varies from segment to segment, but it has to do with what we produced of credit over the last year that has been very good quality, positive for the value creation. So the positive trend for the creation of credit as well. About the efficiency level that you discussed, I certainly, when we adjust the efficiency level index, it's going to open for space for credit operations that do not have the necessary profitability so we can, in fact, get into different public. So today, we don't get in because of that reason, because of the limitation of the efficiency level. So this is the direction that we're headed. Our objective is not a big payout. Our objective is to reinvest the capital of the bank in adequate profitability and distribute the access that we shouldn't use. So with all the migration of One Itau and all the advances that we're doing in the natural person specifically and all the expectation of the expectation of the efficiency level, this will allow us to get into pockets that we explore very little and clients that we sub-service or we cannot service at all in an integrated way. So this is a great opportunity for growth. One Itaú is bringing that. We are advancing in the efficiency level certainly, and we're going to have space to grow in these portfolios.
Gustavo Lopes Rodrigues: Next question with Thiago Batista, UBS.
Thiago Bovolenta Batista: I'm going to do a follow-up on the question of Rosman and Mario on efficiency. Are you comfortable that today, your app, not One Itau, but the Retail app is state-of-the-art to the point that the branches are secondary to the relationship with the client. So it's a question about asset quality. And you're very comfortable with the evolution of the quality of the portfolio in the second quarter and potentially until next year. Do you think that, that's a specific factor that is just yours that you could focus in more -- in better clients? Or for the market as a whole, would you think that this is the same for the portfolios or the asset quality, is not a niche thinking about the second semester?
Milton Maluhy Filho: Thank you, Thiago. Great to see you again. I'm going to start by the second one, and I'm going to answer both. But here about the cost of credit, that has to do with the clear strategy of the bank of doing a portfolio management with a long-term vision in the Wholesale and Retail. So we see very little hiccups and volatility in the numbers. And when you see the management for the long-term cycle, you can have a better control for the quality of credit. You define the publics, you can clusterize the base, you can define the frontiers of the appetite for clusters. And in that sense, you're going to navigate in a less volatile way and in a more consistent way. The worst thing that can happen with the credit relationship is the stop and go that you offer and then you have to stop abruptly, the predictability of the client and the bank and the results. I'm going to give you two indicators of the market, and I'm not doing any sort of qualification of what we are seeing. But I believe that the performance has two indicators that I follow of delays, which is the system publishing. The credit card and vehicles. We've seen in the last quarter, the long-term delays on the credit card growing 100 points in this quarter. So there can always be a discussion that the change of criteria of write-off, ours grew 20%. So when we compare with the performance of the market, we haven't seen any change of criteria in the write-off. We've seen a performance of the industry that is different from what we observed. And ballpark 20% when you exclude Itaú from December, you see that the impact is more relevant than that. For vehicles, it's no different. We see that, well, vehicles can be a change of write-offs, policies of write-off. No, the short-term delay of vehicles is coming stronger than what we observed. Short-term delay doesn't have any relationship with the policies of write-off. So we continue to be very consistent. We have gained shares with the clients that we published targets for the organization. We've penetrated in an important way, and we've grown two digits in this public. This is a management strategy. I believe that every bank has their own strategies, their own policies, their own criteria. Ours is this. And it has been very consistent. Specifically, when you allocate capital in an incorrect way with the transaction, then you see profitability with the capital allocation. So this has been an important driver. On the first point, I wanted to highlight, I think that all the investments that we've done with the Super App, the digital journeys with the completeness, taking off transactionality. We don't want to make the client go to the branch. They go if they want to go. So all the digital transformation was necessary. If they want to stay in the Super App or if they want to go to the branch and talk to the manager of an on-site or remote agent or a consultant of real estate or insurance, it's a decision of the client. We cannot oblige the client to use one channel or the other, because of a lack of offering. So we try to offer all. We are very satisfied with the evolution of the Super App, and we are looking at the NPS absolute, that is -- it's drastically -- we reduced the digital that had a higher NPS. So we are in the same arena, competitive arena for the cost of quality and with opportunities to continue to evolve. And -- to launch new products, we launched 19 new products, and we've shown the results of some. And this is a new normal of the bank. It's not a project. It's not that we delivered a product and it's engagement, it's activation. It's better penetration in the relationships. And this is a new normal of the bank. We're going to have a new bank -- digital bank for the client. We have 70 million clients. And within this public, we have different profiles. We have those that prefer the physical branch. There are the specific publics. For specific publics, they demand remote service. So this is the advantage. We can service the client in all of the context. And I am certain that the Super App that we've done is going to be a facilitator for the evolution of the efficiency level of the Retail segment.
Gustavo Lopes Rodrigues: Now we have Gustavo Schroden from Citibank.
Gustavo Schroden: Congratulations on the solid results. We've discussed the strategy of the bank and about the private consignado. So with the payroll loans, or private payroll loans. I wanted you to evaluate how you see the evolution of the product and how Itau wants to position in the consignado privado private payroll loans?
Milton Maluhy Filho: Well, thank you for the words and the participation in our call. Well, I believe that this is a product in evolution. And we've seen -- this is a great idea. It makes a lot of sense. We see the portfolio as a whole of the product that is growing in the market, and we're trying -- well, we are growing in the BRL 40 billion, but it's limited to specific associations. We always had 30% of that market. So it's a market that we have a relevant participation, but it's a small market. It's a market that is growing. So we see an evolution of portfolios all throughout the last months. At the beginning, there was more activity than because of operational issues, risk aspects, we've seen a deceleration in industrial register. When we talk about platform and organization capacity, technological capacity, I believe that we are the first banks along with Banco do Brasil, specifically mentioning another one to get into this product of the big banks in this product, because of a sensitive reason. It's the capacity to adapt to the changes that were done. That's why we're here. We are right from the inception. And the advantage of taking part since the beginning is that we learn from this evolution of platform, not only the operational challenges, but we could define very well the strategy. Our strategy is very robust. We focused on the clear matrix of publics and that we want to service in which way we're going to grow, and we have the -- we've grown with quality. There's weeks that we had 30% of the share of production. I think that in the accumulated, if I had to give you a number, it would be 11%, 12% of market share of production. And once again, focusing when we look at the target products, publics, it's higher market share. There is a lot of people that don't have a bank account. And so the portfolio is growing. We've grown with adequate prices. If you look at the curve of prices in the market, we have the most competitive prices. This talks about the quality of the clients that we penetrated with the product, and we're migrating from the old to the new product. And we're getting to production levels that are very good with a new product. So there is a ramp-up that is demonstrated in the period. And today, we are very well positioned, and we're very well structured, and we're very satisfied. We've seen two problems. Credit which we've seen a level of delinquency that is higher. The portfolio as a whole, not in our case, so it's tight. And the way that we structure ourselves, we had the breakdowns. We have two installments paying, and we saw -- we saw breakdowns on the payments from the first to the second one when we found a mechanism to advance even in these relationships given the profile of the client that we're working. So we are excited with the evolution, I believe, and there is still a long ways ahead with the market -- with the clients, with the companies have to adapt Dataprev, CTPS. Everybody is doing their homework. Nonetheless, I see a positive result. It doesn't really move the needle in a relevant way, but directionally, we are down the right path.
Gustavo Lopes Rodrigues: Now the next question with Marcelo Mizrahi. We don't hear you Marcelo.
Marcelo Mizrahi: My question, I wanted to go back to growth. And I understand the message. Really, when we look at the line to line, we've seen several lines with weaker growth than what we've seen in the previous quarter in the natural persons and the credit card for the vehicle portfolio and even the rhythm of the growth of SMEs, it's a bit slower. So about the guidance. And when we look at the guidance, I think that the only line of the guidance that seems more at risk is the growth of portfolio. So I wanted you to tell us, you've reviewed the guidance. So it's stable in growth. And I imagine that having the level of trust that you have in regards to the middle point of the average, so we can expect -- so we can understand what we can expect in the next quarters? And what is the portfolio that should help in this composition of the guidance? And now to continue with this question is the issue of the dividends. It really gives you the impression that the payout, the percentage can be higher in this year than last year. I don't know if it's early to say this, but I wanted you to share that.
Milton Maluhy Filho: Thank you, Marcelo. Thank you for the question. It's a pleasure to see you again. I think you're right when you look at the realized and the projected. And in fact, when we do a review of the guidance, we do a review line per line. So we revisited all lines, because if there is an information that is better available, then we want to correct whenever necessary. But in fact, when you look apparently, the biggest challenge is in the portfolio. You're right in this vision. And even so, we reaffirm the guidance. So the best information that we have today has the effect of the foreign exchange that is important. The real is gaining value in regards to the other currencies and that plays against. So it's a guidance of consolidated of the portfolio. So the currency can explain a piece of the behavior. It's difficult to project the foreign exchange rate for the second semester, if it's going to impact the growth of portfolio or not, but we continue to believe that all the segments in the way that we plan for this year, and we've done the guidance, we will be able to deliver what is predicted in the guidance. We don't give point guidance. I don't give you -- I'm not going to tell you if it's the middle point, we give you a range, and we still believe that the range is the best information, our best expectation for the growth of portfolio. Anything different from that, naturally, adjustments will be done but we continue to be trusting that we can deliver the guidance with the information that we have. Now it depends on scenario. It depends on cycle. It depends on demand. So we've seen a demand that is weaker with higher interest rates. So there are several factors that affect. And also, it's well distributed. There is no specific segment. We continue to believe that we continue to grow in the natural persons. We grow healthily in the companies in big companies as well in all the segments with lesser degree -- with varying degrees, but there isn't a specific segment that will perform better than the other. So I believe that today, we are within our expectations -- initial expectations. This is the first point. Second point, on the payouts. So we don't give you a guidance of payout. So your question, you asked if it's earlier. Yes, it is earlier. But directionally, what I wanted to tell you is the following. We've grown capital with a lot of quality. We've expanded the CET1 in 1.5%, 0.6% adjusted by the provision of the interest of our capital. So we are with a rhythm of capital generation that is very solid. So the second semester is to the future, we are going to expect to see how we're going to deliver the results for the next semester with the micro and macro scenarios and delivering solid results, we have to sit down and see the projection, what we expect of the growth of portfolio, the opportunities of investments, naturally, we're going to see our appetite. We've seen 12 of CET1 plus for the distribution of interest. And we have regulatory impacts, the operational risk and credit risk that we paid the first installment. We did the 4x -- four payments without interest rates. So in the next -- first quarter of the next year, there's some effect with those projections we can collaborate well. The objective is not to retain the access. It's no longer extraordinary payments. So it's additional payments of dividends. So it's a recurrent as we generate a good base of capital, and this is the best expectation. And we are certainly going to have an additional payment with the same mechanism, with the same modeling that we've used for the payment of this year from the standpoint of logic of distribution. And next year, with more information, we can detail to you. But we are positive in regards to that.
Gustavo Lopes Rodrigues: Now we're going to switch to English as we have Tito Labarta from Goldman Sachs with us.
Daer Labarta: Congratulations on the strong results. I guess my question is in terms of your maybe longer term or sustainable profitability, right? I mean, ROE is very strong. You have excess capital, which you can return, you have room to improve efficiency. So I mean, if we continue to extrapolate what you've been doing, ROE could continue to go up, I don't know, '24 or '25 and cycle can change, interest rates will move. But just to think, how do you think about the sustainable profitability? And I say that in the context of thinking about the competitive environment, right? I mean, you've derisked on the lower income side. We have some very strong competitors there. A lot of competitors are trying to get more into high income where I think you have a bit of a competitive advantage. Given this sort of changing competitive landscape, you continue to produce strong results. What do you think is a right level of sustainable ROE at least from a high level, just given all these moving parts that you have?
Milton Maluhy Filho: Tito, thank you for your initial words. Good to see you here. Thank you for coming. My view is that even though we don't guide ROE for the long term, we never did and we keep thinking that this is the best way to give you a right assets about the way we are seeing the future. We believe that there are a lot of elements, as you said. So the macro is relevant. The level of activities is relevant. At the end of the day, the cost of equity is relevant, because if there is a change in the long term in the cost of equity, we might see the ROE somehow behaving in a different way, but always looking to the capital gains, value creation that we have as our mantra here in the bank, the way we manage the organization. So I believe looking for this year, I think it's not so tough to say what I'm going to say, but the 20-plus is reasonable to expect. This somehow is implied in the guidance that we just adjusted. But we think we still have capabilities and delivers to keep delivering good profitability for the bank. It's of course, it depends on competition and competition is tough. It's always tough in all the segments. We know we have a lot of very good banks working every day, trying to grow in the segments when somehow we've been leading. But we believe that we have, the capabilities we have, the teams we have, the structure and all the investments we've been making throughout the years to compete very strong and to keep delivering a good position in all those segments where we are. So I don't see reasons why today with the information we have to see the profitability going under the levels that we've been delivering. I'm not guiding a return on equity. Please don't take me wrong. I'm just saying that this level of profitability so far is sustainable. Let's see the coming quarters what are the challenges we have for Brazil, for the macro, for the micro, for competition, for interest rate, for activity, all of them have a relevant impact in the level of profitability. But I don't foresee up to now a reason why we cannot keep delivering a good level of profitability.
Gustavo Lopes Rodrigues: We are going to keep the discussion in English as we have Nicolas Riva from Bank of America with us. Nicolas, good to see you. Please go ahead.
Nicolas Alejandro Riva: So Milton, I have a question on the AT1s, and I think that you alluded to this a bit in your initial remarks, you announced that you're going to be calling both of your dollar AT1s. My question is, I can -- I assume there's not going to be a dollar AT1s issuance at this point to replace the 55 basis points of capital, but please let me know if that's not correct. And then the second question, on the announcement you mentioned -- so you said the impact on total capital is 65 basis points from calling both of these AT1s, but you extinguished between an impact on Tier 1 on AT1 and on Tier 2 capital. And I wanted to ask what's the reason for the impact on Tier 2, if you're calling both AT1s? And my understanding is that, the AT1s count 100% of AT1 capital before and after the call date?
Milton Maluhy Filho: Yes. No, it's completely right, Nicolas. There is no impact in Tier 2. So to be very clear, what we did is a liability management as we are seeing a good opportunity to issue in Brazil. So we did almost BRL 10 billion in issuances in this first semester. I would say more recently, BRL 5 billion in local AT1s, very good market, deep market in very good conditions. So as the level of the capital of the bank is 13.1%. We don't think we need to be full power in AT1, 1.5%. So we are very comfortable to go behind it. So after all those calls, the $700 million and the $750 million bond, AT1, we should go below 1.5%. Our best estimate is to be 1.3%, and we are very comfortable with that. So in the short term, with the market conditions we've been seeing, we don't anticipate going to the international market to do new issuances for AT1. Of course, if there is opportunity in Brazil at a good level of price, we may issue more, always looking to the restriction we have, that is 1.5%, even though we fulfill today with AT1, we have almost 1.9%, 1.8% in AT1s. But we only -- we can only use the 1.5%. That's why we released the figures the way I just made the presentation. So this is the way for the other ones that are maturing and Tier 2 that we have options and call options by the year-end. It's too early to anticipate what we're going to do. And we are going to take in consideration that the level of capital utilizations in the Tier 2, it's a relevant information to make the decision either or not we have to call those bonds. Of course, when you are decreasing the level of capital utilizations in the Tier 2. So there is no impact in Tier 2, 100% AT1, Tier 1, Level 1 capital. And this is what we've been calling and announcing today yesterday with the results figures.
Gustavo Lopes Rodrigues: Now we go back to Portuguese with Eduardo Nishio from Genial.
Eduardo Nishio: Congratulations on the results. I have two questions. First, in regards to your mention of new pockets of credits probably in the low income. And with the improvement of the natural persons, you see the indices improving a lot throughout the year, the improvement of One Itau rollout. Reduction of footprint, are you revisiting the strategy of the massified and what we -- what are we expecting? What are we -- what is the reduction of costs? What is missing in this segment for you to move forward? And the second question is in regards to delinquency. We see in the industry a worsening, it's been a while, 6 months, half a year that has been consistent in the industry, and you have numbers that are very good. You expected a normalization throughout the year, but the natural persons still very low. So I wanted you to know what is the main cause of this improvement vis-a-vis what you had before. Do you think that your improved? And can you stay a lot of time with this discrepancy in regards to the industry? Can you keep if the new harvest are still good enough for you to keep such a higher gap in regards to the industry?
Milton Maluhy Filho: Well, thank you, Nishio. Pleasure to see you. Thank you for the initial words. Now let me start by the second one. We don't see any reason with the information thereby available to have discontinuity on the credit looking up ahead. We're very comfortable with delinquency level. I talked about SME. The expectation is that this normalization can be 10, 20 basis points in the indicator of delays looking ahead, but with an expectation. It's a mechanical issue of not having the delinquency and the portfolio growing and produces a better indicator like you say artificially, when it normalizes, it goes back to the parameters that we expected before. But Brazil is cyclical. We need to look at the cycle, the activity. So with the information that we have today, we kept the guidance of the cost of credit. We understand that this is the best information. We had an expansion in the net margin, and we've grown with quality. We don't see a reason that we shouldn't grow with quality. All the harvests, no deviation of what we have as a target audience. So that portfolio long-term vision is determinant so we can continue to perform. Of course, volatility can always come. That happened in Brazil. We've seen it many, many times. I believe that our portfolio is much more resilient than what we had in the previous period. Given the diversification, the portfolio management, all the way that we've managed the portfolio in the Wholesale, and in Retail, it's a more resilient portfolio, less volatile than what we observed. We have a great penetration in credit cards that we are market leaders with a position of highlight in regards to the second place. And even though we have products that are more volatile, we've grown with quality in the target audiences in an important way. And here, we will not forgo of a very aware conscientious balanced management to have short-term results just to have short-term results, because then you pay for this cost of credit for 2, 3 years. We want to have the decisions that are positive, and this is the way that we manage the balance of the bank, and we are comfortable. Retail, Wholesale, this is for everything. There is an interest in agribusiness, some doubts on the performance of agribusiness. Well, this segment, just to give you a Zoom, I see that this is a segment that in the last few years has suffered price of commodities, tighter margins, climate issues that are never seen before in some regions, the cost of capture with the Selic rate going up. This is a sector that from previous years had extraordinary years, very strong years and over the last few years, difficult years. But we've seen and we've heard in the market more volatility in our portfolio. This -- our portfolio from the management standpoint is very balanced. We are in all the agriculture, all relevant, very well-selected agricultural distribution. with big clients of agribusiness, the rural producers that invoice higher volumes with higher invoicing, very well-defined agricultural monocultures that we should be present and we are resilient. And we've managed to perform our indicators show in a very healthy way regardless of the challenges. And we have an agribusiness portfolio that is about BRL 130 billion. So when we look at the percentage of the RJs that we have in the market, our market share is 5% with BRL 130 billion in portfolio. So we've managed to perform with a portfolio management that is very active. And very careful with good penetration of guarantees in the segment in adequate cultures. So I wanted to clarify this out about agri business. So the portfolio is very resilient and always subjected to changes in the scenario. That's it. About your first question, about the new pockets. Well, we're going step by step. Our objective is not just to open the credit. There is an evolution to capture in the efficiency level, the One Itaú is an embryo of this public that we can observe, and we can work with more emphasis, but this is a very qualified public of One Itaú. We have Uniclass, Personnalite clients. It's not just low income in the old concepts. These are incomes that you have this public included. We did a derisk in the portfolio. We reduced the position in more vulnerable publics. It reduced the volatility as you have more comfort with the right efficiency level, and we are evolving our credit levels, artificial intelligence, machine learning, everything that is modeling of high level, we have volume to simply -- when we have the opportunity, we can evolve. And in a consistent and careful way, we are not -- we don't want to rush. We want to do this long-term vision very well.
Gustavo Lopes Rodrigues: Now we're going to proceed back to English as we have Carlos Gomez-Lopez from HSBC. Carlos. Good to see you. Please go ahead.
Carlos Gomez-Lopez: So two brief questions on two areas we haven't touched. One on the corporate spreads, you mentioned how the market has been quite receptive to your AT1. And in general, the Brazilian market seems to be operating with very low levels of corporate spreads today. Do you think they make economic sense? Do you expect them to increase in the future? And second, could you comment on one area of the portfolio that we don't talk too much about, which is the mortgage portfolio? I think it is the one that is growing the most right now in your individual segment, 17%. How are you doing it with these high interest rates?
Milton Maluhy Filho: Yes. Thank you, Carlos. Thank you very much. So yes, you're right. So the spreads in the DCM market, especially for the big corporates in general, the market is very tight and the companies that have been accessing market have been able to do at a very competitive level of prices. The same way for us when we go to the market and access for AT1s, as you were saying and mentioning. So this is for everyone. Let's see because we still have a lot of demand with this level of interest rate, a lot of flows going to the credit industry. And that's the reason why we are seeing this level of prices. Let's see, looking forward, if the credit scenario keeps delivering the way we've been seeing, if there is no volatility, we believe that this is possible that we will keep looking for this level of prices, but will depend a lot in volatility and in the credit market. If there is any volatility we might see some changes in prices, but this is not what we are foreseeing right now. And the market has been very active even though the volumes have been lower than what we saw last year, the level of prices are still very, very competitive. And companies that have a long-term liability program or infrastructure investments are taking the advantage to go along an issue with this level of prices. So this is what we've been seeing. And the second one on the mortgage side, although I think all the industry, it's over subscribed, I would say, in the levels of what we call the saving accounts. We look to the capability to make price combining what we have in terms of saving accounts, we are in the private industry, we are #1 bank in terms of volume. So we still have less need even though we do have needs to access the market with other instruments, the letter of credits and things like that. We've been accessing market with all the instruments, LC -- LCI and others to make that good composition to the funding. We've been very disciplined in price, which is important. But at the end of the day, we still see a lot of demand from clients for the good segments, the segments where we believe there are more resilient, more affluent clients. So that's where we've been able to do good growth. In terms of market share, we've been able to do 45%, 46% of market share on the private banks. And we know that this product is very important for the relationship with our clients' long-term relationship. And we have the edge of having bigger saving accounts, amounts, which make us more competitive in general to access those clients. So it's a good growth, very solid and consistent and we still believe there will be opportunities to grow, especially on the Retail. In the Wholesale, where we still have capability to produce transactions. We've been very cautious here taking care of the clients that we have but avoiding credits that may be more riskier. We see the market underwriting some risk that we don't believe are sustainable in the long term. So we've been very disciplined with the real estate, especially for -- on the mortgage side.
Gustavo Lopes Rodrigues: Now for the last question, we have Natalia Corfield from JPMorgan.
Natalia Corfield: I'm going to mention my question as you do with capital. And a lot of it, well, you answered to Nicolas, which was that there is no impact in the Tier 2. I was confused. Another point, because you mentioned that you cannot have over 150 basis points in AT1. I always understood that Itau thought that it was a level optimal to have, but that you could have more than 150 basis points. Banco do Brasil already had it. So I just wanted to clarify with you. Is there any change in the regulation in Brazil that now you cannot issue more than 150 basis points of AT1?
Milton Maluhy Filho: There's no restriction. We can have the volume that we want and issue the volume that we want, but Central Bank only allows that we use Basilea with maximum 1.5% of capital index and AT1. We have by different reasons. We have a liability management that has been done. Imagine that we issued BRL 10 billion in the first semester of perpetual [indiscernible] The calls come after. So there is a temporal lack of -- you have an excess of AT1 during that time. And you can use more than 1.5 by legislation. So that access that you have has a higher cost is a cost of AT1, but that you do not use it for AT1 purposes. So there is the temporal mismatch of the issuance and the exercise of the call. That's what happened. We invaded, we advanced a little bit, nothing wrong. But what we've seen is the capital level that the bank is running, 13.1% with the capacity of capital generation at the core, there is no need that we run at 1.5, 100% all the time. So we are very comfortable because it doesn't affect the appetite of risk of the bank and much less the policy of dividends. Having more or less AT1s is not a limitation for the distribution of dividends. We always do the planning on the core equity. So the logic is to -- we saw the opportunity of exercising a call. It's an economic decision based on price, and we are comfortable on running less than 1.5. So first, we don't have the appetite to be running. We're going to run at 1.5 if we understand that there is an opportunity for capturing the local market that would justify us anticipating a capture if that's not the case, and we are very comfortable running with 1.3 or less than 1.3 if we understand that there is an opportunity given the level of capital that we have of core equity. And we can have through the cycle, the utilization of the key 1.5, which is what's happening now. It's not a limitation, no change in appetite. It's more circumstantial issues that we're very comfortable with. In fact, if there is any doubt in regards to Tier 2, there is no relationship with the discussions of the call of the Tier 2, the decisions will be made in the future with more information, taking into consideration what I just discussed to Nicolas, the utilization of capital that will be an important variable to attribute the economic value of that issuance. This is what we are saying, and this is clear.
Gustavo Lopes Rodrigues: Thank you, Milton, Gabriel and all of you. Thank you all of you that taken part with our Q&A session, our video conference. And I'd like to give you the floor, Milton, to close the call.
Milton Maluhy Filho: Well, thank you very much for your participation, for the questions. And I think that the point that remains is culture, the strength of the organization in the sense that we are all dedicated looking at the scenario and paying attention to the changes and be satisfied, thinking that we can always do something better every day. This has made the bank evolve throughout the years. Once again, thank you very much. We're very happy and satisfied with the results, but that's the past, water under the bridge. We've discussed the results, and we need to work for the next quarters, believing in the value of the franchise on the long term, and this is what we believe every day, focusing on a sustainable growth and evolving with the client satisfaction centrality, solving the pains of the clients every day, and we are in a unique moment, not only of the balance and results, but strategic positioning to face the challenges up ahead. And we can evolve in our digital journey, artificial intelligence and everything that has to do with technology that is available. Always paying attention to our clients and naturally our investors. Thank you very much for your trust. Thank you for the messages and the questions. And the challenges are up ahead, and we still have a lot of work to do. Thank you very much.